Operator: Good day, ladies and gentlemen, and welcome to the Genasys Inc. Fiscal Third Quarter 2021 Conference Call. [Operator Instructions]  At this time, it is my pleasure to turn the floor over to your host, Kim Rogers, Investor Relations for Genasys. Ma'am, the floor is yours.
Kim Rogers: Thank you, Padma. Good afternoon, everyone, and welcome to the Genasys Inc. Fiscal Third Quarter 2021 Financial Results Conference Call. I'm Kim Rogers with Hayden IR, the Investor Relations firm for Genasys. With me on the call today are Richard Danforth, Chief Executive Officer; and Dennis Klahn, Chief Financial Officer of Genasys. Before we begin, I'd like to take this opportunity to remind you that during the course of this call, management will make forward-looking statements. Other than statements of historical facts, statements made during this call that are forward-looking statements are based on our current expectations. During this call, we may discuss the company's plans, expectations, outlook or forecast for future performance. These forward-looking statements are subject to a number of risks and uncertainties, including, without limitation, the business impact of health crises or outbreaks of diseases, such as epidemics or pandemics and how they may affect our supply chain and other risks and uncertainties, many of which involve factors or circumstances that are beyond the company's control. These forward-looking statements are based on information and management's expectations as of today. Future results may differ materially from our current expectations. For more information regarding potential risks and uncertainties, please refer to the Risk Factors section of the company's Form 10-K for the fiscal year ended September 30, 2020. Genasys disclaims any intent or obligation to update those forward-looking statements, except as otherwise specifically stated. We may also discuss the non-GAAP operational metrics of bookings and backlog, which we believe provide helpful information to investors with respect to evaluating the company's performance. We consider bookings and backlog leading indicators of future revenues and use these metrics to support production planning. Bookings is an internal operational metric that measures the total dollar value of customer purchase orders executed in a given period, regardless of the timing of the related revenue recognition. Backlog is a measure of purchase orders received that are scheduled to ship in the next 12 months. Finally, a replay of this call will be available in approximately 4 hours through the Investor Relations page on our website. At this time, it's my pleasure to turn the call over to Genasys, Chief Executive Officer, Richard Danforth. Go ahead, Richard.
Richard Danforth: Thank you, Kim and welcome, everybody. I will open today's call with an update on the business. Following my opening remarks, Dennis will provide a recap of the fiscal third quarter and 9 months 2021 financial results. Following my closing remarks, we will open the call for questions. Robust revenues and bookings and the acquisition of fast-growing emergency management and public safety software provider, Zonehaven, highlighted a very strong fiscal third quarter. Fiscal third quarter bookings were a record $44.3 million, the largest fiscal quarter in the company's history. For the first 9 months of fiscal 2021, we have booked $59.8 million, exceeding any prior fiscal year total. Addressable 12-month backlog at June 30, 2021, was $37.7 million, a 43% increase over the same period last year. Total fiscal year backlog at June 30, 2021, was $49.7 million. The company continues to generate operating cash. Over our prior 2 fiscal years, we generated $18 million in positive operating cash. And in our third quarter, we added another $8 million to that. On calls earlier this year, I said we expected record fiscal 2021 bookings, backlog and revenue. Through our third quarter, we have achieved record bookings and are in a strong position to achieve record fiscal year backlog and revenue and another year of record revenue in fiscal 2022. In our first quarter, we acquired Amika Mobile and in June, we completed the acquisition of Zonehaven. Both acquisitions are serving as a catalyst to produce significant GEM enterprise software and Integrated Mass Notification Systems hardware and software business opportunities. Zonehaven software-as-a-Service empowers public safety agencies with essential evacuation and repopulation management tools that help protect the people they serve. Zonehaven provides planning, training, drills, alerting and a comprehensive Know Your Zone community outreach program to bridge the gap between first responders and the public. By continuing to offer Zonehaven software as is, and integrating it with the GEM enterprise software and as a layer in our Integrated Mass Notification System, Genasys will have 3 key competitive advantages for securing local, regional and national emergency management and warning contracts. Our combined systems and solutions are expected to increase software sales, grow recurring revenues and enhance profit margins. As discussed on our last call, European Union public warning system RFPs are increasing. Earlier this month, France selected a French company to implement its public warning system. The country of Estonia made an award. Although Genasys was rated number 1 technically, we were second at price and the award went to the lowest price bidder. The dynamics of each country's decision-making process are varied and complex. The timeline for contracts awards has taken longer than originally anticipated, mainly due to ongoing COVID-related issues in the EU. Our business development and engineering teams in Europe are participating in European Union government customers and 18 mobile network operators. Multichannel flexible and customizable Genasys NEWS features industry-leading location-based SMS and advanced cell-broadcast technology, all engineered, built and supported by Genasys European-based team. With more than 180 million Genasys-powered mobile alerts sent and delivered to Australians endangered by disasters over the last 8 years, we are confident in competing for and winning EU and other countries public warning system awards. Last quarter, we completed and commissioned a citywide Genasys Integrated Mass Notification early warning system for Laguna Beach, California. Featuring solar power and satellite connectivity, our industry-leading voice acoustic arrays continue to operate when power and telecommunication infrastructure fails or is turned off by utilities, public safety power shutoffs or PSPS events. GEM software enables multiple activation and warning options to deliver geo-specific emergency alerts and life-saving notification via SMS, voice calls, e-mails, desktop alerts, social media, common alert protocol, the U.S.'s [iPause] and more. In addition to other large Integrated Mass Notification System projects expected to be finalized and announced this year, the combination of Zonehaven evacuation management software and Genasys Emergency Management software is rapidly filling up business pipeline for integrated systems with opportunities from California and the Western United States.  The ongoing regional drought, wind, hot weather, tender dry conditions, lightning strikes and human carelessness have created a perfect storm for mega fires capable of creating their own weather. In these conditions, wildfires are capable of moving at 100 yards per second or more. Because of the increasing speed intensity of wildfires, local firefighter's roles is shifting towards better coordination with law enforcement on planning, training and alerting to successfully manage evacuations and help protect and keep people safe. As the only provider of public safety warning systems that unifies sensor inputs, evacuation management and multichannel alerting solutions, we anticipate substantial U.S. and international growth in our integrated mass notification systems and Zonehaven segments in fiscal 2022 and beyond. Our Genasys enterprise software business is gaining momentum throughout North America. We continue to enhance our software feature sets to meet customers' needs and continue to grow our internal software sales teams and adding U.S. and international software resellers. The expansion of our software services contract with a global automaker to its facilities outside North America is close to being finalized. GEM enterprise software service contracts with other major corporations are also expected this fiscal and calendar year. U.S. and international government opportunities with cities, counties and departments are part of a robust and growing GEM enterprise business pipeline. In addition to the large army program of record and mobile mass notification system orders received last quarter, we completed the Phase 1 of the U.S. Navy SBIR research and development project announced last December. The project is focusing on developing next-generation technologies to make acoustic devices smaller, lighter and louder. Our Phase 2 proposal has been submitted and we anticipate an award decision this calendar year. New and follow-on U.S. and international defense business is expected this year and in fiscal 2022. With that, I'll turn the call over to Dennis.
Dennis Klahn: Thank you, Richard. Revenues for the fiscal 2021 third quarter were $12.6 million, up 6% from the prior year quarter. As compared to the same prior year period, LRAD revenue was $11.4 million, up 9%. Software revenue was $752,000, up 102% and IMNS revenue was $455,000, down 60%. The increase in software revenue was primarily from professional services on new software contracts and the sale of the software license. Gross profit margin was 53% this quarter compared with 54.1% in the third quarter of fiscal 2020. Gross profit as a percentage of revenue was lower in the fiscal 2021 third quarter due to a 61% increase in engineering personnel, primarily software related. Higher software expenses were due to the recent additions of Amika Mobile to our Canadian subsidiary, Genasys Communication Canada; and Zonehaven and additional employees and resources for the Australia, EU and GEM enterprise software initiatives to support future revenue growth. Operating expenses were $6.2 million, up from $4.5 million in the same period a year ago, largely due to a 76% increase in sales and marketing personnel to support future revenue growth opportunities, including opening sales offices in Singapore, the United Arab Emirates and Puerto Rico. Net income for the quarter was $0.3 million or $0.01 per share, a decrease from $1.5 million in the fiscal 2020 third quarter. The decrease was largely due to the increased selling, general and administrative expenses, offsetting the higher revenue and gross profit in the third quarter of fiscal year 2021. For the first 9 months of fiscal 2021, revenues were $32 million, up 10% from $29 million in the same period last year. Gross profit margin was 49.2% compared with 52% in the first 9 months of fiscal 2020. Gross profit as a percentage of revenue was lower compared to the prior year period, primarily due to a 64% increase in engineering personnel over last year to support the Australia, EU and enterprise software initiatives. Operating expenses for the year-to-date were $15.3 million, up from $12.1 million in the same period last year, largely due to a 60% increase in sales and marketing personnel over the prior year to support future business and revenue growth opportunities. Net loss for the first 9 months was $0.1 million or breakeven per diluted share compared with net income of $2.4 million or $0.07 per diluted share in the 9 months of fiscal 2020. This decrease was primarily due to the higher operating expenses, partially offset by the higher gross profit in the current year period. Our balance sheet remains strong. Cash, cash equivalents and marketable securities totaled $22.8 million on June 30, 2021, compared to $31.4 million on September 30, 2020. Working capital totaled $17.8 million on June 30 compared with $29.8 million on September 30, 2020. The decrease in working capital was primarily due to the use of cash to complete the Amika Mobile asset purchase and Zonehaven acquisition in the first and third quarters of fiscal year 2021, respectively, offset by a larger amount of customer deposits. With that, I'll turn the call back over to Richard.
Richard Danforth: Thank you, Dennis. With 2 synergistic software acquisitions, opening and staffing sales offices in the Asia Pacific and Middle East and augmenting our global software sales and engineering teams, fiscal 2021 continues to be a transformative year for the company and adding important elements to accelerate business and revenue growth and maximize shareholder value. Increasing emergency warning, enterprise and public safety needs are driving demand for our full suite of hardware systems and software solutions. Genasys's unified multichannel platform is uniquely positioned to capitalize on rapid growth in the critical communications and mass notification markets. Based on our record fiscal year bookings and robust backlog and business pipeline, Genasys is strongly positioned to achieve record fiscal year backlog and revenue and another year of record revenue in fiscal 2022. I'll now turn it back to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Mike Latimore with Capital Market.
Anchal Sahu: This is Anchal Sahu on for Mike. Could you just give me an update on the sales or the pipeline out of Singapore and UAE offices. More government or enterprises focused business and those reasons?
Richard Danforth: Well, the APAC region still is largely impacted with COVID-related shutdowns across most of the countries in the APAC region. With that said, there's significant system opportunities in multiple countries that we are prosecuting that include both integrated systems and software-only solutions. In the Middle East office, UAE, similarly, it's not a shutdown. That part of the world is not shut down as much as the APAC region is. But we have opportunities that we're prosecuting across most Middle Eastern countries. We have new opportunities in Africa, and we're prosecuting the Eastern European countries out of that office as well. The specific numbers by office or region, I don't have in front of me, but we can provide those at a later date.
Anchal Sahu: Okay. And how much was software of total booking in the quarter?
Richard Danforth: I have booking, do you have the revenue number?
Dennis Klahn: I don't have the bookings. I mean the revenue was $752,000. Year-to-date software revenue is about $2.1 million, which is more than we've had in any total year in the last 3 years.
Anchal Sahu: Right. And like as you don't give the specific guidance, but could you -- should Q2 revenue be higher than the 3Q revenue?
Richard Danforth: Could you repeat the question?
Anchal Sahu: Yes. Like as you don't give the specific guidance, should 4Q revenue be higher than 3Q revenue?
Richard Danforth: What I've said is that our fiscal 2021 revenue will be yet another record year. So last year, we did $43 million in total year revenue. We're at $32?
Dennis Klahn: Yes.
Richard Danforth: $32 million in revenue through Q3. So just to match last year's total, we would have to do $11 million. And as I said, we will do more than that, notwithstanding supply chain and other related issues, but we still expect to do record revenues in Q4, record total year revenues with the addition of Q4.
Operator: Our next question comes from Martin Yang with Oppenheimer.
Martin Yang: My first question is about maybe your near-term outlook for the share of software revenues. Do you expect it to -- when do you expect it to achieve maybe 10% of total?
Richard Danforth: For software? Is that the question?
Martin Yang: Yes. For software.
Richard Danforth: My expectation was certainly we'll be exceeding 10% next year.
Martin Yang: Got it. And follow-up of that is, as you expand the sales force and the operating structure to support your organization, is achieving breakeven for software part of the midterm or near-term priorities?
Richard Danforth: Sure. As we -- as the software business grows, it reaches to a point where it will be covering its own cost. And then from -- as you know, beyond that, it has -- will provide a very high gross margin to the company. We're still in the early stages of that, but I expect again, next year to emerge from that position to a very favorable position for the company.
Martin Yang: Got it. And last question from me. Can you maybe provide us with more context on when and what kind of revenue level would you be able to operate software business profitably?
Richard Danforth: I don't think we've provided that information publicly.
Dennis Klahn: We've not.
Richard Danforth: We'll work on that and get something out publicly to answer that.
Operator: Our next question comes from Ed Woo with Ascendiant Capital.
Ed Woo: Congratulations on the quarter. In terms of the supply chain and any chip issue shortages or transportation issue shortages, have that impacted your business at all, any delays?
Richard Danforth: Sure. We've had delays. We've been required to redesign to commodities that are available in the supply chain. We have -- having said that, we have met all of our revenue forecast, we have internal forecast, albeit, that we put forward more than a year ago. And we expect Q4 to be exactly where we had planned it to be. So the engineering team and the operations team have been working together to solve the supply chain challenges, be it by redesign, fundamentally by redesign when we needed that to do that.
Ed Woo: Great. So it sounds like it hasn't really impacted you that much, if you guys were able to still meet your targets?
Richard Danforth: We have. Underneath the covers, though, Ed, there's a lot of people working to make sure it doesn't impact us. And they've been successful. And I fully expect that they'll continue to be very successful.
Ed Woo: Great. And then my last question is on the EU. You mentioned France and Estonia. Do you still feel as confident as you do now with the opportunities there than you did prior to, I guess, these 2 countries announcing their contracts?
Richard Danforth: I do. In fact, I'd state that I feel more confident. I have mentioned for more than a year that there will be cases where there will be a home field advantage. And I think that's what we experienced in France. Estonia is a very small country with not that many people, 1 million or so people that live there, is disappointing to lose but coming in number one technically against people that have been in the business for a very long time was reassuring in a validation of our strategy. On a simple low price wins, we're probably not going to win that. And somebody else will. But not all countries are going to put award criteria based on price, not based simply on price. There are several as I mentioned in my remarks. There's 11 government RFPs out now. There's 18 mobile network operator RFPs out now. There are large countries and small countries in that mix. And I believe when we speak next quarter, that number will be larger. I expect additional award announcements in our fiscal Q4 and then again in our fiscal Q1 and beyond.
Operator: Our next question comes from Richard Neaton with Rivershore Investments.
Richard Neaton: My question concerns the Zonehaven acquisition in your thinking of the ROI involved given the price paid for the company in terms of stock and cash. You mentioned that this isn't primarily a financial-based acquisition. How are you thinking in terms of return on investment and over what period of time what percentage of return, given the number of new shares you issued in the short-term dilution to your preexisting shareholders?
Richard Danforth: A couple of comments. One, Zonehaven is a start-up company. It's been a business for 2 years. So if you try to do a multiple on revenue or multiple on earnings, it doesn't -- it just won't work. I will say that our expectation on a 12-month look ahead of fiscal 2022, I believe our multiple will be in the 4 range. I expect explosive growth from Zonehaven, and their pipeline is robust, and we're beginning to see it.
Richard Neaton: And was that expectation that multiple the primary determinant of arriving at an acquisition price?
Richard Danforth: It was -- that was certainly weighed into it. But it was the people. It was the customer base, part of the due diligence, we met with the users of the software product. And the users are zealots. They're the best sales force there is for this product line. If you look at just the fires in Northern California, this fire season, about 16 of those, and we're early in the season are using Zonehaven software. That's up from single digits a year ago. So it will continue to grow, I believe, as I said explosively. And if we waited for another year of revenue for Zonehaven, we would be paying a multiple that was in excess of, I believe what we valued it at on a go-forward basis for the next 12 months.
Richard Neaton: Okay. So -- and what opportunities do you see Zonehaven presenting for your software business, say, in Europe, Australia, APAC and other parts of the U.S.?
Richard Danforth: Several answers to that question. So as I mentioned in my remarks, Zonehaven will continue to be sold as is. A version of Zonehaven with the GEM enterprise software will also be offered and it will be offered as a layer in the integrated system platform that Genasys sells. Zonehaven has not reached outside of Northern California. We have expansion plans outside of the U.S., Australia is a great opportunity for Zonehaven. The Genasys software already knows where all the phones are. Layering in the evacuation software from Zonehaven to me is a no-brainer. We have opportunities throughout the United States, Asia, the APAC region and in the Middle East. So our -- part of our expansion from a sales and marketing effort was at least in part to expand both Zonehaven and GEM, both hardware and software. And as I said in my remarks, I believe this year was a transformative year for that, and we should stop reaping the rewards in our fiscal 2022.
Operator: Our next question comes from Myles Wittenstein with UBS.
Myles Wittenstein: A couple of questions. First of all, The Great Britain contracts were awarded to the competitor. Are those -- did you actively compete in that market? And if so, what do you think -- why do you think that they went the other way? Number one. And second, you mentioned that we came in second in price. Is that there's enough value added in our pricing to justify where we are versus what Estonia actually ended up buying? And finally, last question is, where are we on stock buybacks?
Richard Danforth: Last question first. We have an active program, but we're not using it. Relative to the U.K., the U.K. requirement for mass notification is almost a decade old. And they have had -- and by the way, they're not part of the EU. So they were never part of my comments regarding the EU. With the pandemic that occurred, there was an urgency that they felt to get a system in place, and they did buy a cell broadcast system for 4G and 5G only from part of the supply chain that had been working that country since 2010, which did not include Genasys. In terms of your second question on Estonia and the price, the way the each country, as I mentioned in my remarks, each country comes out with, some case simple, some case, very complex evaluation criteria. In the case of Estonia, price was weighed as I recall, 85% and technical was weighed 15%. So it's imbalance. So if it were 50-50, I would agree with your comments. 85/15, it's almost impossible to do.
Operator: Our next question comes from [Michael Morelli].
Unidentified Analyst: I’m a long-time stockholder. In fact, I think I've been following the company for 20 years. I'm now 86 years old, and I'm getting to the point where the old saying from Keynes comes in, "in the long run, we're all dead. " And I'm saying that because in the last several quarters, you've been saying, yes, we're investing in this and that and everything else for future growth, future growth. And my question is, at what point do you stop spending all this money and start turning it into profits.
Richard Danforth: Well, first, we've been profitable for the past 3 years. We've generated $24 million, $25 million in operating cash. I've stated that even despite the significant investment that we planned for in our fiscal 2021 that we would also be profitable and cash flow positive, despite the investments. Those investments are at least in part responsible for a $60 million booking through 9 months. Our prior full year booking record was $46.5 million, I think. We're substantially higher than that, and we have a full quarter to go. So we will enter our fiscal 2022, excuse me, Michael, with a backlog that will support, again, another record year of revenue for our fiscal 2022. So our top line from revenue has been growing at just under a 30% CAGR for the last 4 years. And we've delivered operating income, net income and lots of cash, while investing around the world and in engineering and marketing. That's the company.
Unidentified Analyst: I appreciate all that. I know all that. And of course, I've been sticking with you for such a long time. However, I'm still looking for the reported net operating profits are still miniscule, even compared to the price. And I guess, maybe I should reform the question to say when are we going to see earnings, which are the only reason why the stockholders buy stocks because their earnings are going to go up.
Richard Danforth: Our earnings have gone up every year, as I said, for the last 3 fiscal years.
Unidentified Analyst: Well. All right. It seems to me waiting and waiting and waiting. And I don't have that much more time to wait.
Operator: Our next question comes from [Lloyd Corton] with Unique Investments.
Unidentified Analyst: I have a few questions. Well, in the RFPs for Europe, will Zonehaven be incorporated into those?
Richard Danforth: Not initially. So there's no requirement for that yet, Lloyd, but that's clearly an upsell opportunity, particularly in the countries where we put the SMS system in where, as I mentioned, like Australia, where all of the -- the location of all of the phones is known, integrating the Zonehaven software in that platform, as I said, is a no-brainer because you already have the location of all the people -- of all the phones, excuse me.
Unidentified Analyst: It wouldn't be advantageous as an upsell that we have this, which nobody else has?
Richard Danforth: It will certainly be part of our proposals, but it won't be going into the pricing.
Unidentified Analyst: Okay. In the rest of Europe, there are multiple carriers in each country, is that correct?
Richard Danforth: Yes.
Unidentified Analyst: And are we negotiating with individual carriers or with the government or what?
Richard Danforth: It depends. It depends on the structure of the RFP. In some cases, like the country of Estonia, the government ran the whole thing. As I recall, there were 3 individual carriers in Estonia and then the front end for the government. So there were 1 RFP to cover 4 activities. In other countries, that would be 4 RFPs.
Unidentified Analyst: You feel it's more advantageous for us to have separate RFPs there in each country?
Richard Danforth: I do. It gives you a better opportunity to win. You may have a better relationship with one of the network carriers. And another you may have a better partner and a country.
Unidentified Analyst: Don't we have a strong position in Spain?
Richard Danforth: Sure. We certainly do.
Unidentified Analyst: Do you feel like there's a good possibility we'll get something out of that country seeing that we're there already and another capacity, if you now have remembered.
Richard Danforth: I think it's going to be a fair and open RFP process.
Unidentified Analyst: Okay. Also, in the last call, you were going to release an SEC something on the cost of an acquisition. I never saw that come through.
Dennis Klahn: There was an 8-K that was filed that -- disclosed, I believe. I'm pretty sure that it disclosed the purchase price. In addition, it's a good sized footnote in the 10-Q that will be filed today or first thing in the morning.
Unidentified Analyst: What was that purchase price?
Dennis Klahn: It was $24.2 million.
Unidentified Analyst: I'm sorry. Say it again.
Dennis Klahn: $24.2 million.
Unidentified Analyst: That was for which acquisition?
Dennis Klahn: For Zonehaven.
Unidentified Analyst: $24 million in cash, stock or what?
Dennis Klahn: Yes, both. Cash and stock.
Richard Danforth: 50-50.
Unidentified Analyst: Okay. In our RFPs, as you stated, we're the only ones that have the physical speaker system in addition to the software. How important do you think that's going to be or how much interest are these countries showing because we have that and our competitor doesn't, I believe.
Richard Danforth: You're correct. I would say, in the North America enterprise market, it is a significant difference that automobile manufacturer that we mentioned in the last quarter, we expect to be awarded contracts to put acoustic devices, both inside their factories and outside their factories here shortly. And there's more that to come from the enterprise side for sure. In the national emergency warning systems, again, it's in our proposals. It's not part of the requirement, but it's an upsell opportunity. And in counties and cities like Laguna Beach, we're the only ones that do that. So Laguna Beach has acoustic devices, has software. We announced the Riverside County all software win. We expect additional opportunities in Riverside and lots of other counties here in California and beyond. And it's the whole package, Lloyd. It's the hardware, it's the software, it's the sensors. It's the command and control software.
Unidentified Analyst: It just seems that it's a selling opportunity. In an emergency, not everybody has their cell phone on them, their batteries die, they don't have reception. And I would think that the speaker system would be critical for a lot of people out there.
Richard Danforth: Your assessment is correct.
Unidentified Analyst: It just seems like, we have something nobody else has. Also, there was an announcement of a college that redid their contract with you guys. Cambridge or something, what was that college?
Richard Danforth: Lambton College in Canada.
Unidentified Analyst: Are we working with other colleges? Are we getting anywhere with other colleges in this country or any country?
Richard Danforth: Sure. We're in several colleges -- I'm sorry, in Canada. And in the United States we're in several colleges up and down the East Coast.
Unidentified Analyst: Oh, I didn't know -- have they been announced or just been...
Richard Danforth: They're announced when we're allowed to announce them. Frequently, we're prohibited from doing that.
Operator: Our next question comes from Stephen Wagner with Integrity Wealth.
Stephen Wagner: And welcome aboard, Kim. Obviously, the bookings are fantastic. A little bit curious as to -- I was really expecting a much larger actual revenue recognition for the quarter. That's just my own personal view. Were there any headwinds there? I mean, did -- delays -- I mean you guys have talked about delays, COVID shutdowns. Do you think that contributed to any of that?
Richard Danforth: No. As I said, Steve, our revenue in Q4 -- in Q3, excuse me, was right where we expected it to be.
Stephen Wagner: Understood. Okay. And if...
Richard Danforth: Now remember, Steve, we came into this fiscal year with $16.6 million in backlog. And we have converted that backlog plus another $18 million of book and bill. And we still have the fourth quarter ahead of us.
Stephen Wagner: Understood. It should be fantastic. It should be another fantastic year. And just kind of bleeds into my next question. And prior, I think the last call and then in another call that you and I had, you talked about getting -- achieving this is before Zonehaven, achieving $100 million in revenue, 50-50 split between software and hardware in the next 3 to 5 years. So if you do the math from today and just look at the trailing 12 months, $45 million, you do that math on a CAGR going forward, on 3 years, that's close to a 30% CAGR.  On 5 years, that's an 18% CAGR. I feel, personally, like those numbers should be communicated a little bit better. And I would encourage those analysts that may be on this call to think about that. I mean they've heard you make that statement. And yet when you look at some of their estimates, I mean we're talking single-digit numbers. So that's just more of an editorial comment. You don't need to reply to that. But I would like to follow that up with a quick question. That was before the Zonehaven acquisition. Now we've made that acquisition. You very confidently and I think appropriately have indicated that we should expect powerful revenue growth from this. And I couldn't agree more. It's a theme and product that time has not only come, but it's now. What would you say to us on this call right now in terms of what that $100 million revenue number should be? Should it be now closer to 3 years? Could it be earlier than that? What are your thoughts?
Richard Danforth: As you pointed out, Steve, I've said before multiple times that the company would be $100 million in 3 to 5 years. The Zonehaven acquisition will get us there closer to 3 than 5. So I think...
Stephen Wagner: So here we are, we got the company...
Richard Danforth: FY 2022 is a big deal. Yes.
Stephen Wagner: Yes. So if we got a company growing at 30% CAGR, that's remarkable. And I would just wonder when that news is going to get out there in terms of growth potential. And that will alone get us on significant radars and create what has been a lackluster institutional interest in our company over the last couple of years. I mean our institutional ownership has declined in the last 2 years. I'm not an institution. We more than doubled our shares to over 4 million. And yet I've noticed and seen these other folks that have been in the story for so many years just lose interest. They're still good shareholders and they're loyal shareholders, and we're appreciative of it. But Kim, you've got an opportunity here, a massive opportunity here with a wonderful growth story. I just hope that we can get in front of more of these kinds of funds, micro cap, very small cap that are able to buy now and they don't need to wait for, well, we need to see more software revenue or we need to see more this or that because I think we're there from that standpoint. The other question that I have is regarding Europe, and I appreciate your comments earlier, and I know that you alluded to some delays. One of the things that you mentioned in the last call was that there would be more than 1 expectation of an award to Genasys in the second quarter. Now obviously, we wouldn't expect it to be announced in the second quarter, but sometime in the following quarter. Where are we there? Are you still confident with regard to that? Has that been accomplished? Are you able to comment at all on that?
Richard Danforth: Only the 2 that have been announced, Steve, France and Estonia.
Stephen Wagner: Okay. Fair enough. But you're still...
Richard Danforth: About my remarks -- my remarks pointed towards -- we're highly confident in our position in the EU.
Stephen Wagner: Understood, as you should be. I mean, again, it's a fantastic opportunity and product that we have to offer. Again, as you said, if the waiting in Estonia would have been different in terms of importance, we clearly would have won that. But they are who they are and they have their own parameters, and that's just the way it goes. Moving on to another question that I have, obviously, 2 gigantic wins for us in the face of competition versus our larger competitor, in fact in seating our largest competitor in BMW, North America. I know that you had anticipated or were preparing other proposals for them in other locations throughout the world. Can you give us an update on that?
Richard Danforth: Sure. I mentioned that in my remarks. We expect a contract for a North American -- and I'm sorry, a Latin American country. We expect a third contract from another Latin American country. And we are working a European country for the same company.
Stephen Wagner: Fair enough. Fair enough. And on Zonehaven and by the way, I completely love that acquisition and completely agree that now is the time to do it. Waiting a year would have made it a lot more expensive, maybe even prohibited. So congratulations on that. I think that's a fantastic investment in our future and one that's going to pay significant dividends. And again, maybe this is just an editorial thing to think about. But I think it would be very helpful if you guys were able to somehow find your way to give us guidance on what you think that is going to do from a projected dollar amount. I appreciate the comments regarding explosive growth, but none of us out here really knows what that means. And I think it would help, if we did now a little bit more detail on that. That's just a comment. I appreciate your hard work, and we look forward to a fantastic rest of the year in fiscal 2022.
Operator: It looks like that was our final question.
Richard Danforth: Thank you. We regularly discuss our business at investor events during the year. You're invited to join us for these events. Thank you for participating in today's call. We look forward to speaking with you again later this year, when we report fiscal year 2021 results.
Operator: Thank you. This concludes today's conference call. We thank you for your participation. You may disconnect your lines at this time, and have a great day.